Operator: Good afternoon, everyone. Welcome to Bruker’s Fourth Quarter and Full Year 2014 Earnings Conference Call. [Operator Instructions] Please also note that today's event is being recorded. At this time, I'd like to turn the conference call over to Mr. Joshua Young. Mr. Young, please go ahead.
Joshua Young: Thank you very much, Jamie. Good afternoon. I'd like to welcome everyone to Bruker's fourth quarter and full year 2014 earnings conference call. My name is Joshua Young, and I'm the Vice President of Investor Relations for Bruker. Joining me on today's call are Frank Laukien, our President and CEO; and Charlie Wagner, Bruker's Executive Vice President and Chief Financial Officer. In addition to the earnings release which we issued earlier today, we'll also be referencing a slide presentation as part of today's conference call. The PDF of this presentation can be downloaded by clicking on the earnings release hyperlink on Bruker's Investor Relations website. During today's call, we will be highlighting non-GAAP financial information. A reconciliation of our GAAP to our non-GAAP financial statements is included in our earnings release and in our webcast presentation. Before we begin, I'd like to reference Bruker's Safe Harbor statement, which is shown on Slide 2. During the course of this conference call, we will be making forward-looking statements regarding future events or the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from the projections described in such statements. Factors that might cause such differences include, but are not limited to, those discussed in today's earnings release and in our Form 10-K as well as other subsequent SEC filings. Also note that the following information is related to current business conditions and our outlook as of today, February 19, 2015. Consistent with our prior practice, we do not intend to update our projections based on new information, future events or other reasons prior to the release of our first quarter 2015 financial results in early May 2015. We will begin today's call with Frank providing a business summary of our performance. Charlie will then cover our financials for the fourth quarter and full year 2014 in more detail. Now I'd like to turn the call over to Bruker's CEO, Frank Laukien.
Frank Laukien: Thanks, Joshua. Good afternoon and thank you for joining us on the call today. I'll begin my presentation on slide 4. Our fourth quarter financial performance was roughly in line with our expectations, despite facing significant headwinds from currency. We reported $508 million in revenue in Q4 2014, which represented a $44 million year over year decline compared to Q4 2013. Approximately $ 34 million of this decline was related to foreign exchange rates and $ 8 million of the decline was related to products that were divested in our CAM division. Adjusting for these two factors, our revenues were nearly flat on a year over year basis as we reported a year over year organic revenue decline of 0.5% in Q4 2014. We reported non-GAAP EPS of $ 0.30, a decline of 3% compared to Q4 2013. Our non-GAAP operating profit was negatively impacted by $6 million due to your over year changes in foreign exchange rates. On slide 5, I show our financial results for the full 12 months of 2014. We reported $ 1.81 billion in revenue in fiscal year 2014, a decrease of 2% compared to fiscal year 2013. After adjusting for foreign exchange and the net effect of acquisitions and divestitures, revenues were approximately flat compared to fiscal year 2013. In addition to currency headwinds, our performance in 2014 was impacted by weaker demand for our Nuclear Magnetic Resonance or NMR and our X-Ray products. From a group perspective, our BIOSPIN group reported flat revenues in fiscal year 2014, as a very good year from our pre-clinical imaging division was offset by the second half revenue declines in our NMR business. Revenues for our CALID group declined by 5% if fiscal year 2014, with nearly all of this reduction coming from our CAM division. CAM’s revenues declined by $22 million year over year and the division reported a $27 million non-GAAP operating loss in fiscal year 2014. With the previously announced CAM divestitures and restructuring now expected to be completed by March 31, 2015, Bruker’s future operating results will benefit from not having our profitability drag down by CAM’s operating losses. At the beginning of 2015, we renamed our Bruker Materials or BMAT group to Bruker NANO group. This change was made to emphasize that the group’s capabilities and markets go far beyond providing analytical information about the industrial materials. We now have extensive capabilities in NANO analysis and microscopy for your area such as nanomaterials, neuroscience, and lifestyle imaging research. As a result, the name change more comprehensively characterizes the NANO group’s product portfolio and capabilities. Our NANO group revenues declined 1% in fiscal year 2014, as industrial and semiconductor markets remain soft but did not materially worsen during the course of the year. Geographically, we generated low single digit organic revenue growth in the Americas, approximately flat revenues in Europe, and mid-single digit revenue decline in Asia. While our revenues in China declined slightly in fiscal year 2014, our revenue decline in Asia was primarily related to weakness in Japan and other Asian countries. Our non-GAAP EPS of $0.75 represented a year over year decline by $ 0.02. Changes in foreign exchange rates reduced our EPS by $ 0.08 or nearly 10% for fiscal year 2014. Please turn to slide six and seven now, where I’ll provide additional detail about the fiscal year 2014 performance of all three groups and of our BEST segment. First let me begin with our BIOSPIN Group, which generated revenue of $623 million in 2014. Weak demand for our NMR products was the primary reason that BIOSPIN’s 2014 revenues were flat with 2013. NMR revenues declined in all three major geographic regions as demand for higher-field products continued to remain muted. Fundamentally, we believe that the NMR market remains healthy, but it is absorbing some of the investments made in higher-field systems over the past few years. We are seeing some incremental order opportunities as a result of Agilent’s exit from the market, but I would remind you that it can take up to a year before we see the benefit of new orders effect our P&L. That being said, we’re optimistic that NMR new order bookings will continue to improve over the next few quarters. On a positive note for BIOSPIN, our pre-clinical imaging or PCI division had a good year, generating double-digit revenue growth in fiscal year 2014. The division is seeing increasing customer demand for higher-strength pre-clinical MRI system. We also saw a nice year over year improvement in the profitability of the PCI division, due to better operating leverage and the execution of productivity improvement initiatives. Geographically, revenues for the BIOSPIN group grew nicely in the Americas and that growth was offset by declines in European revenue. During 2015, we are moving forward with our rightsizing and manufacturing footprint consolidation programs in BIOSPIN. We made our proposals to the workers councils in Europe earlier this quarter and has proposed to reduce our headcount in BIOSPIN by approximately 9% or slightly less than 200 positions. We are also seeking to further rationalize our manufacturing footprint. We expect that some of the savings from these programs would increase BIOSPIN profitability, while some would be reinvested into new capabilities and in adjacent markets for future profitable growth. For example, I shared with you last quarter that we’re building a new division within the BIOSPIN group to pursue new opportunities for NMR technology in applied and clinical markets. We will provide additional information about this program once we complete our negotiations with the various workers councils. I would expect that we will see more savings in 2016 than in 2015 due to the longer timelines and higher materiality associated with our footprints consolidation efforts. Next, I’d like to turn to our CALID group, which generated $554 million in revenue during fiscal year 2014, which includes $80 million of CAM related revenue. Please keep in mind that the CALID group revenue will decline about $50 million in 2015 due to our CAM divestitures and restructuring. Our Daltonics division generated low single digit organic revenue growth, which was headlined by another year of 20% plus growth in the MALDI Biotyper. The performance of the MALDI Biotyper in the United States was very good and we are working with the US FDA to further expand the libraries available for the MALDI Biotyper. Within CALID, our Optics Division crafted second straight year of solid performance and is now the most profitable business in the Bruker portfolio. Optics benefited from strong growth in the Americas and Europe and is seeing healthy demand for its products in the food and agriculture industries. It also has been successful in operational programs that have driven higher profit margin in the business. The biggest milestone for CALID in 2014 was the execution of the CAM divestiture and restructuring plan. In the second half of 2014, we divested two CAM product lines and we have now exited most of the division’s employees. In July 2014, we laid out a plan to generate $15 million to $20 million in annual savings once the plan was completed by June 30, 2015. We now expect that we will complete these activities one quarter early by the end of March 2015. This will enable us to generate three quarters worth of CAM restructuring savings during 2015. While we have some work remaining in the first quarter, I’m pleased with the speed of our execution. The remainder of the CAM activities was merged into our Daltonics division as of January 1, 2015. I’ll finish the discussion about our CALID group with a few brief comments on our Detection Division. Although Detection is a small division, it has an outsized impact on CALID in 2014. Detection experienced substantial delays on export licenses, which had a significant impact on the division’s ability to convert backlog into revenue. As a result, the division’s revenues and profitability declined considerably year over year in 2014. On the other hand, the Detection division had very strong order bookings in 2014 and entered 2015 with strong backlog and the potential to convert several large deals into revenue while the next 12 months. Please now turn to slide 7 where I will discuss the performance of our Bruker NANO group and our BEST segment. Bruker NANO reported revenue of $ 498 million, representing a 1% decline from fiscal year 2013. I would characterize 2014 as the next year for the group. While our Nano Surfaces and Nano Analytics divisions experienced growth, our AXS and Elemental divisions were impacted throughout most of the year by persistent softness in demand from industrial customers particularly in Asia. Our Nano Surfaces division which includes our atomic force microscopy product posted flat organic revenues after a challenging year 2013. The division’s core academic and research markets remained healthy, while demand from semiconductor and data storage customers remained weak. During 2014, the division integrated two acquisitions, Prairie and Vutara, which added important capabilities in fluorescence microscopy as well as $11 million of 2014 revenue. These new products will help NANO with its strategic goal of increasing its exposure to life science research and cell biology market over time. While we did not see the rebound in the Nano Surfaces division that we had hoped for in 2014, the good news is that the division posted much stronger new order bookings in the back half of the year, which is an encouraging sign as we head into 2015. Our AXS and Elemental businesses both reported revenue declines during the year. The AXS division had a particularly challenging year as a meaningful exposure to Japan, Russia and the semiconductor market all contributed to a weak 2014. Finally, our BEST segment reported revenues of $ 153 million or 4% growth compared to fiscal year 2013. BEST was able to deliver good growth, despite having about $10 million of revenue related to the Rosatom pilot line delayed into 2015. BEST also faced a difficult year over year comparison due to the Rosatom license fees recognized in 2013. The market for low temperature superconducting wire remains healthy as BEST exited the year with strong new order bookings and backlog. We also expect its market for Big Science projects will remain attractive. I’d like to close by talking about Bruker’s key priorities for 2015, which I show on slide 8. First, we want to continue to transform our leadership, our management processes, and our systems. While we made tremendous progress during 2014, we have more work to do in 2015. From a management standpoint, we continue to make targeted changes to our divisional leadership teams and a high priority will be to find a new leader for the BIOSPIN group, once Thomas Bachmann will leave in mid of 2015 to become the CEO of Beckendorff. In terms of systems, we successfully implemented a new financial consolidation platform and CRM systems in 2014. As we move into 2015, our system focus will move towards ERP and HR systems so that we can gain better visibility into our business. Next, we will focus on successfully executing our rightsizing programs and footprint consolidation plan in BIOSPIN. We will work to complete the negotiations with the workers council and reduce our headcount and factory costs in BIOSPIN as quickly as possible. We will accelerate the further outsourcing of high-level assemblies in a number of our divisions in 2015 and 2016 with expected for the improvements in COGS and working capital over time. Finally, we believe that after the CAM restructuring, we can reaccelerate organic growth in the Bruker portfolio. We continue our significant investments in R&D and expect important new product introductions in 2015. We are also successfully entering adjacent markets and expect a re-acceleration of our bookings growth in 2015 and of our organic revenue growth rate in 2016 and 2017. I’ll close my remarks by stating that we have a number of transformational initiatives underway at Bruker that are all aimed at helping us to drive better operating performance. While some factor is outside of our control, such as currency and market demand has prevented these improvements from translating into EPS growth, I believe that we are taking the right action to create long-term value at the company and I expect solid operating margin improvement in 2015. With that, I will now turn the call over to our CFO, Charlie Wagner.
Charles Wagner: Thanks, Frank. I'll now provide some additional details on our Q4 and full year 2014 financial performance. On Slide 10, I show a snapshot of our Q4 2014 non-GAAP results. Total revenues were $508 million, a decrease of 8% from the fourth quarter of 2013, reflecting the significant currency impacts that Frank described earlier. Our fourth quarter free cash flow of $ 62 million represented the strongest quarter of the year, but was far lower than the fourth quarter of 2013 as working capital and cash flow improvements occurred more evenly during 2014. Our working capital ratios improved nicely year over year and while some of this improvement came from changes in foreign exchange rates, a substantial portion of the improvement came from better inventory management. Finally, our net cash position was up 70% compared to the previous year as we continued to strengthen our balance sheet. On slide 11, I show our Q4 2014 non-GAAP operating results in more detail. Our Q4 2014 non-GAAP gross margin of 43.9% is a decrease of 110 basis points on a year over year basis. While foreign exchange rates decreased our gross profit by $ 16 million, FX did not have a material effect on the gross margin percentage in the quarter. Low margin revenue in CAM, BIOSPIN and BEST as well as lower volumes in Daltonics were the primary drivers of the lower gross margin percentage in Q4 2014. Our Q4 2014 operating expenses were down approximately $8 million on a year over year basis, with all of the decrease due to changes in currency. However, despite the favorable impact on operating expenses, foreign exchange rates still lowered our operating income overall by $ 6 million in the quarter compared to the fourth quarter of 2013. Our non-GAAP tax rate of 20% was down considerably year over year as a result of jurisdiction mix and the release of valuation allowances in the fourth quarter. Non-GAAP EPS of $0.30 represented $0.01 decline from the previous year. On slide 12, I show a reconciliation of our GAAP to our non-GAAP financial results for the fourth quarter. In Q4 2014, we excluded $19 million of operating costs from our non-GAAP results, down slightly from the previous year. Fourth quarter restructuring costs are primarily related to CAM and other costs are primarily non-cash asset impairments. On slide 13, I show our revenue bridge for the full year 2014. Reported revenues declined 1.7%, including organic revenue decline of 0.4% year over year. Changes in foreign exchange rates reduced revenues by 1.4% and the net impact from acquisitions and divestitures had a negligible effect on the full year growth rate. Lower CAM revenues in 2014 reduced Bruker’s growth rate by roughly 1% for the full year. Significant currency changes in Q4 drove the negative currency effect that we reported for the full year. On slide 14, I show our operating performance for fiscal year ended December 31, 2014. Our non-GAAP gross margins were down 60 basis points, but were flat after adjusting for the negative effects of foreign currency. Our higher year over year SG&A spending reflects the investments in new management and functional capabilities, including sales management, marketing, finance and IT. Our full year tax rate of 25.1% is at the low end of the range of guidance we provided in November. The year over year decrease in tax rate is the combined result of planning activities and fourth quarter reserve releases. On slide 15, I show our non-GAAP reconciliation for the full year 2014. We were excluded $ 79 million of operating costs from our non-GAAP results, which is up $ 22 million from the full year 2013. The $ 11 million of higher restructuring costs is primarily related to our CAM restructuring and other costs were also $ 12 million higher on a year over year basis as a result of non-cash asset impairments related to both CAM and BEST businesses. On slide 16, I show our cash flow performance for the full year of 2014. We recorded the cash flow of $ 81 million for 2014, a decrease of $14 million compared to 2013. The decrease is a result of lower net income and the customer advances, which was partially offset by lower CapEx spending during the year. We need good progress during the year on lowering our inventories, but some of this improvement was offset by higher receivables at year end. The unusually low CapEx spending was primarily a result of project timing and we expect CapEx spending of approximately $ 45 million in 2015. Our cash conversion cycle improved by 21 days compared to the previous year, which is comprised of the following. Our days of inventory of standing were 195 days compared to 218 days in 2013, overall our inventory declined during the year by 20% with approximately half of the decline related to our outsourcing and restructuring programs. Our days sales outstanding were 61 days compared to 59 days last year and finally our days payable totaled 25 days compared to 26 days in the previous year. Before turning to guidance, I would like to spend a few minutes talking about the effects of foreign exchange rates on our operating results. With approximately 80% of our revenues generated outside the United States, changes in currency have a substantial effect on our financial performance. On slide 18, I show the effect the changes in foreign exchange rates had on our revenue, our non-GAAP operating profit and our earnings per share in 2014 and the effect we expect for 2015 based on recent rates. While we did not see a large reduction in revenues during 2014 due to currency, we did see significant effect on our operating margin and EPS as the $25 million revenue impact led to $0.08 reduction in EPS. The profit impact was primarily the result of the weakness of the yen versus the dollar during 2014. Since we have very little in yen denominated costs, the negative currency impact on yen revenues flows directly through operating margin and EPS. As we turn to 2015, we’re expecting currency to have a much larger negative effect on revenues primarily due to the weaker euro versus the dollar. However, a much smaller percentage of this revenue reduction will flow through to adversely affect our operating margin and EPS. This is due to the fact that we have a significant amount of euro denominated costs which act as a natural hedge to the euro’s impact on revenues. However, I want to point out that in recent months the dollar strengthened against nearly every global currency, not just against the yen or euro. As a result, and with such a high percentage of our revenues outside the United States, we still expect changes in foreign exchange rates to lower our EPS by $0.09 year over year, which represents a double digit EPS headwind in 2015. Turning to slide 19, I show Bruker’s summary financial outlook for 2015. We expect changes in foreign exchange rates to reduce our reported revenue by 7% to 8% for the full year, the biggest revenue from currency will be felt in the first three quarters of the year. We expect the combined effects and currency and the revenue lost as a result of the CAM divestitures will reduce revenues by $185 million year over year. Excluding the impact of foreign exchange rates and the net effect of acquisitions and divestitures, we expect organic growth of approximately 1%. As a result of our CAM and other initiatives, we expect non-GAAP operating margin to increase by over 100 basis points in 2015 allowing us to keep EPS approximately flat even on a lower revenue base. Finally, we are expecting a non-GAAP tax rate of approximately 26% to 28% for the full year and our outlook assumes the yen to dollar rate of 1.17 and dollar to euro rate of 1.16. So I’ll close by stating that despite the challenges we have faced over the past two years, we believe that we’re moving Bruker forward and see that the benefits of the many initiatives we have launched are beginning to accumulate. We remain as committed as ever to deliver on our objectives, to transform Bruker’s operations, drive innovation and deliver greater value for Bruker’s shareholders. With that, I’d like to turn the call over to Joshua to start the Q&A session.
Joshua Young: Thank you. Jamie, please assemble the Q&A roaster.
Operator: [Operator Instructions] And our first question comes from Tim Evans from Wells Fargo.
Tim Evans: Frank, could you elaborate a little bit on the outlook for the NMR market now that you have another quarter behind you and I'm thinking here kind of organically if you remove the outlook for possibly picking up some of the Agilent business here, what do you think is the underlying growth rate that market?
Frank Laukien: Okay, Tim. After pretty good high single digit growth for several years, it’s obviously weakened considerably in 2014, so a long-term growth rate for NMR over five or more years, I would estimate to be in the low to mid-single digits, perhaps 3% to 4%. The shorter term prediction for 2015 is somewhat more difficult. We had some decent orders in Q4, of course those will go into next year and as you know, we had order weakness for most of the first three quarters of 2014. We’re picking up the occasional system that otherwise would have gone or perhaps already did go and was cancelled with Agilent, but if anything, that’s partially making up for the weakness that we’ve seen in the NMR market. So I think it’s difficult to predict what 2015 will be, we’re not expecting a significant strengthening of the NMR bookings in 2015 compared to 2014. And that’s over very long time periods, over a couple of decades we have sometimes seen that 2, 3, 4 year run up following by a 1 or 2 years settling and that maybe one of the NMR patterns that we’re seeing right now.
Tim Evans: And just a quick follow-up, what you’re thinking on the way pricing has evolved in this market as growth has slowed down and all the other dynamics that are going on at the same time?
Frank Laukien: We’re certainly trying for a better price discipline I would say, I mean before that over for a variety of reasons [indiscernible] and then as Agilent declared this market to be strategic for a few years, the pricing discipline and some of the discounts in the NMR market were really very perhaps egregious. And so we’re trying to be much more price disciplined and we’re making a significant effort to do that. You also cannot overdo that, obviously there’s budgets that are out there, but we’re trying to be much more disciplined and I think the customers by and large are understanding that that’s necessary to make sure we remain financially healthy with NMR.
Operator: Our next question comes from Brandon Couillard from Jefferies.
Brandon Couillard: Frank, could you give us a sense of your outlook by division in terms of the organic revenue growth for next year, sort of laggards?
Frank Laukien: By division, we wouldn’t do it by group. Each group has a number of different factors, so that isn’t really a remarkable discrepancy between the groups. They are fairly closely grouped no pun intended here. We may see a little bit softer performance in the BEST segment, that’s because some projects have rolled off like the big either project for them, but there isn’t anything very remarkable, it’s not that one grows 10%, something else is flat and something else shrinks. It’s not very remarkable, they’re relatively similar with perhaps a very slight growth recovery organically compared to last year, but we’re really expecting more of the bookings recovery and more of revenue uptick in 2016. And I’m talking, I’m sorry, in our cases about organic revenue because obviously currency is having a major – is a major headwind particularly in the first three quarters. No remarkable differences would have been the short answer.
Brandon Couillard: Fair enough. Charlie on the margin outlook for next year, can you quantify the effect of currency that it will play the margin side? And then if you can quantify the magnitude of incremental cost savings benefit that you expect this year, should we think about the CAM savings being three quarters of that $20 million target?
Charles Wagner: On CAM, I’d say that’s exactly right. We’ve been pleased with the pace of execution there and our estimate around full year run rate at savings hasn’t changed, so you can assume that we’ve got three quarters of that benefit in 2015. On currency, I gave you the dollar figure on the impact, you can kind of back into that, you’ve got $135 million at the revenue line and $22 million at the operating profit line. And Brandon, that’s also shown again on slide 18 if you want to refer back to that one.
Operator: Our next question comes from Dan Leonard from Leerink.
Dan Leonard: Could you elaborate on the weakness in Japan? I'm wondering how much of that is market weakness versus perhaps share loss?
Frank Laukien: Dan, I’ll take that. This is Frank. So certainly revenue in Japan was down in 2014, a lot of that is currency. But bookings in Japan were down more strongly and a lot of that had to do with that in 2013 we benefited in many divisions, but particularly for the big ticket system from the special supplementary budget which turned into revenue in early 2014 but was bookings in 2013. We actually, in the areas that we’ve looked at there, I don’t think we lost any shares. I think that affected the other NMR vendor in Japan about equally. In the X-Ray business, it is possible that there is some share loss in Japan as our Japanese competitor that is clearly seeing a benefit from the much lower yen over the last two years and we have obviously had to raise our pricing. In addition, there is clear industrial weakness in Japan and microelectronics data storage and semiconductor segment has not picked up really worldwide, but that all affect Southeast Asia and also Japan quite a bit.
Dan Leonard: Got it. And then for my follow-up, Frank, if your MALDI business continues to grow 20 plus percent but Deltonics is only growing low single-digits, does that mean the balance is Deltonics is declining and why would that be?
Frank Laukien: Yeah, it was declining a little bit and the MALDI, the other applications of MALDI mass spectrometry have generally come down a little bit in recent years as MALDI is considered a secondary and complementary technology for portal mix, but electric spray, high resolution, accurate mass systems such as Orbitrap or Qtop technologies are the primary mix technologies. Our improved QTOF came out late in the year, they are very well received, but they really haven’t done that much for revenue yet last year. So your observation is correct, but we think with the new product introductions are at an inflection point with the other parts of our product line there.
Dan Leonard: In the LC triple quad, how is that trending versus planned?
Frank Laukien: The LC triple quad business for us is relatively small. It clearly – with moving the entire factory from Fremont to Bremen and closing our part of the Fremont factory and moving the R&D from Fremont in part to Billerica, Massachusetts where we built the Biotyper and software R&D to Bremen as well. That has slowed things down a little bit in the triple quad business, but I think we are by the end of Q1 and that’s really then the end of our CAM restructuring, I think we’ll have I believe a much higher quality and more stable product line for both types of triple quad from our new factory. But I have to acknowledge that we lost several months there where we were not growing in our triple quad product line as we were transferring that from one to another factory.
Operator: And our next question comes from Steve Willoughby from Cleveland Research.
Steve Willoughby: Frank, first a question for you, do you have any thoughts on how you are expecting 2015 to play out from both a geographic standpoint as well as a pacing throughout the year and just thinking are there any quarters that you're expecting to be stronger or weaker than others throughout the year?
Frank Laukien: Maybe I’ll take the first part and leave the second part to Charlie. Geographically, we expect the United States to be really the highlight like everyone else who are expecting the best growth in the United States. We are expecting Europe by and large to be flat to low growth with much of Europe really not in bad shape, but at some point our business in Russia was not insignificant and a little bit larger than perhaps for other companies in the life science tool space. And that’s not going away, but it’s really dropping dramatically for all the well known reasons. In Asia, Asia is really multiple geography, obviously China did a little better than the rest of Asia for us last year and we actually along with the fact that we picked up our China organisation little bit more upbeat on that, Japan will really haven’t seen any inflection point and the currency situation is still what it is and I don’t think there’s any certainly no major supplementary budgets in Japan, so our expectations there are perhaps the lowest. And for the rest of Asia, which was relatively weak last year, we expect that to come back a little bit. But overall US strongest, Asia weakest, and Europe in between. Charlie, the quarterly flow, did you want to comment on that?
Charles Wagner: Yeah. From a quarterly standpoint, keep in mind that Q1 of 2014 was a pretty strong quarter. So it will be bumping up against that comp in Q1 of 2015. Also, the currency impact proportionally, the rate differential is the most significant in Q1. So Q1, maybe not in absolute dollars, but proportionally will have a pretty big currency impact. So with that I would say its pretty modest expectations for Q1 with some momentum building while the course of the year.
Steve Willoughby: And then Charlie just a second question for you, you've had pretty good cash flow, free cash flow for at least two years now and you're building from that cash on the balance sheet. Do you have any updated thoughts on either timing or uses of cash?
Charles Wagner: Cash flow was pretty good in 2014, we could have done better at the end of the year. We, what the course of the 2014, we consumed a little bit more cash on restructuring than what we expected at the beginning of the year, I think that’s a good use of cash for us. And then in the fourth quarter inventory was solid, but receivables got away from us a little bit and so we can do better there. Heading into 2015, I think I mentioned we’ll see an uptick in CapEx, we’re going to continue to be on the lookout for bolt on M&A. The last two deals that we’ve done Prairie and Vutara have been really nice fit and off to a very nice start. So that’s going to continue to be part of the portfolio. Beyond that, we have not made any commitments from any decisions around additional use of cash. And I think honestly we want to take a little time to make sure that we are delivering some consistency both in profits and cash flow before make any additional decisions.
Operator: Our next question comes from Amanda Murphy from William Blair.
Amanda Murphy: I just had a follow-up to Kim's initial question on the NMR market. You made some comments about the high field side of things maybe going through a replacement cycle, I'm just curious is that driven by the price discounting that happened earlier with the accelerate, what would be a more protracted replacement cycle? And then just how do we think about what the product cycle looks like on NMR generally. Is it – to people replace after 10 years, 15 years, what’s the cycle there?
Frank Laukien: So the high field weakness really I don’t think was related to pricing. There was a fair number of high field deals in 2013, 2012, 2011, even 2010, if I recall and from China to Europe, to Japan also with a special supplementary budget. And that’s still a little bit of a multi-year stimulus right over different geographies and different gears hangover that we’re having there right now and it’s not there people had 80% of the funding or 90% of the funding for high field system, but then we just couldn’t quite get them, couldn’t make the pricing work, it just wasn’t that much funding. So those two are not related. Some of the slower NMR bookings maybe related to the fact that we’re just getting away from the somewhat extreme discounting that was prevalent in the industry and we are doing it gradually, but nevertheless that will slow things down a little bit as some customers will need to look for additional funding for what they are intending to procure. The product cycle in NMR can be of the order is longer than for other products, it can be, there’s different pieces for the magnet, that’s 10 or maybe even more years for some of the electronics and probes and then computer peripherals, they get replaced in between. So it’s sort of a longer product cycle of the order of 10 years and other parts. There’s quite a bit of upgrade business in the NMR market where you don’t replace the entire system, but you basically need that superconducting magnet which tends to last a very long time. So between five or 10 years plus for the magnet. Does that answer your question?
Amanda Murphy: Yes. And then you mentioned some of the opportunities in adjacent markets in NMR have you guys spent time maybe quantifying what that looks like in terms of market opportunity expansion for you just taking the base NMR market and then thinking about incremental adjustable market there?
Frank Laukien: It’s early days and we have some theories on that, but I don’t think any numbers that we would really want to throw out into the public yet, but we are seeing good growth with the food and wine and juice and honey screener and those are very dedicated products, NMR is very robust and reliable and very counter-effective because the measurements are fast, it’s a good way of doing in a way quantitative makes a low mix on the smaller number of samples are metabolized the most important ones. And we spend a lot of years developing and refining those libraries with a number of our customers. So that’s not hugely moving the needle yet, but its a few $10 million per year that we’re growing gradually. And where that might go ultimately, we are very much in a strategic analysis of that where that might go and related clinical research might be similar and whether that can go further, that’s obviously something we would like to accomplish, but we are still very much in the analysis phase for that.
Operator: Our next question comes from Ross Muken from Evercore ISI.
James Clark: This is James Clark in for Ross. Maybe a question on the NMR restructuring, you alluded to some headcount reduction. Just wondering if you can put some sort of dollar terms around that and then maybe talk about where you're looking to reinvest in the business?
Frank Laukien: Well, again, leave the dollar terms to Charlie and the investments tends to be in the service business. I think the service and life cycle support has been under invested in the past, we think we can over time, perhaps over not that many years, maybe over three or five years already got a significantly higher percentage of revenue for that group from service and aftermarket, something that we hadn’t developed strategically before. Also, we have continued investment in the very nicely and fast growing preclinical imaging division and last but not least our new division, the applied and industrial and clinical NMR or magnetic resonance division NMR, EPR, from a small base is trying to create more, not ultra high performance NMRs, but high value analytical solutions that are very robust and based on NMR and that of course take longer to adopt because you got a really – of course, developed the databases, the software and then they need to be validated by our customers, which can be both industrial customers or regulators and then the adoption cycle takes a little bit longer, but if it gets adopted overtime you can see some additional license. And I think also that’s price sensitive growth in that area. So that’s where the investments are, less investments rightsizing is more in the traditional NMR and EPR field where the budgets aren’t as quite as strong and that we think we can run with a leaner team and smaller footprint. We’re investing in the CapEx side and we have to invest quite a bit to reduce the number of factories that we do have. Obviously, some of it, there’s a little bit more outsourcing, but some of these activities have to go into our existing factories with therefore needs some expansion and remodeling. So I think it’s a good use of our cash and net cash that we’re investing on our business, some of it is restructuring, some of it is CapEx, to make Bruker more profitable and more efficient.
James Clark: The question for Charlie was around the dollars. But that was sufficient. I guess maybe a follow-up sort of as you go through the restructuring and you get back to sort of a mid-single-digit market growth that you alluded to, maybe you could talk about sort of what you would expect from incremental margins when you get back to that sort of more normalized market growth rate post the restructuring.
Frank Laukien: Incremental margins, more for a 2016 point of view, I don’t know that I have a reliable figure that I can give you at this point in time.
Operator: Our next question comes from Doug Schenkel from Cowen and Company.
Unidentified Analyst: Thanks for taking my question. This is Chris on for Doug today. In context of the 2015 operating margin, can you talk about what the contribution for the greater than 100 bps expansion target is from gross margins? If I could be a bit more specific on operating margin guidance, can you specify exactly how much is due to restructuring actions such as CAM outsourcing and rationalizing BIOSPIN spend? And then will you need incremental restructuring actions to meet the required margin expansion target next year?
Frank Laukien: Okay. Yes. So we talked about expected margin expansion in 2015 of greater than 100 basis points. The question was asked earlier about currency, if I recall currency is about a 30 basis point headwind, we're going to overcome that and still improve operating margins by more than 100 basis points. Most of the improvement comes from the cumulative effect of programs that we've been putting in place over the last couple of years. Clearly CAM has a big effect. And I sized that earlier on this call. But then, as you know, we've had restructuring in the NANO group and in CALID as well over the course of 2013 and 2014 outsourcing programs and other things that are now starting to accumulate. I think we're starting to see some of the benefit of that in a more meaningful way heading into 2015. At this point we’ve got a little bit of BIOSPIN restructuring assumed in the guidance that we've given, but we don't need to overachieve on that to hit the guidance.
Charles Wagner: Which is another way of saying that what we're doing in 2015 will mostly then benefit 2016. So yes, to answer the last part of your question, Chris, yes, we do need the rightsizing and footprint consolidation within Bruker BIOSPIN plus other incremental actions plus the significant outsourcing initiatives that's underway this year in order to further perform and improve our performance in 2016. It is clearly a cumulative effect of these transformational steps that we have been at for the last couple of years at least and will continue this year and will continue somewhat also into 2016.
Operator: [Operator Instructions] Our next question comes from Dan Arias from Citigroup.
Dan Arias: Frank, on the personnel changes that you're making, I’m wondering if you would just maybe be willing to rank the businesses just in terms of which are most settled versus which are still fairly influx. BIOSPIN, obviously it sounds like it's on the settled side, but I think it would be helpful if you could sort of comment across the organization as we try to gauge where the leadership needs are at this point.
Frank Laukien: On the Bruker BIOSPIN side, actually, Thomas has made very good progress in settling his divisional leadership. He has a very good and already somewhat experienced operational leader. We just hired a head of R&D that will join us midyear, we’re delighted to have that person joining us soon, very capable individual with a good track record. I think we're still building off the financial organization and HR a little bit in BIOSPIN, there we had a couple of setbacks. But you know that’s sort of at the level where you usually don't see the names anymore. And yes, of course, I want to find another top-notch person like Thomas Bachmann to continue to run that group after maybe a year, clearly one of my priorities. But I think Thomas even after two years will leave a very positive imprint and quite honestly we’re looking for continuity to execute a lot of the things and plans that he has put in place and that are now on track from the organizational to processes. That's the rightsizing in the footprint. In Bruker NANO, very good group there, in the divisions at the level that you just don't see any more and you probably wouldn’t be familiar with the names. There is – over the last couple of years have obviously improved some of our financial business partners in those divisions. We've strengthened operations in quite a few of those divisions and mostly those individuals are on board and are leading the outsourcing and lean and other initiatives. We still have, in some areas we have – we will be making some leadership changes or maybe there's a retirement. Still quite a bit of activity I'd say in all groups at that level of the division, top division management of the groups other than Thomas being needing to be replaced and I think it looks stable and we have a very good team together there. But yes, there still be a lot – still be quite a bit of work to be done with functional executives some commercial leaders in our divisions which are underneath the group levels and a lot of that is going on this year.
Dan Arias: Okay. That's helpful. And then on the outlook for the year, what does guidance assume with respect to end market improvement for the NANO group, maybe specifically what you’re factoring in for AXS and demand on the industrial side?
Frank Laukien: We’re mostly trying to shift the markets for the group a little bit by obviously even more – they’re actually selling quite a bit into academic research, of course, all the life science and life science AFM. We introduced a fantastic product in December and of course the new instruments in microscopy for cell biology and neuroscience research going to more stable academic and government research with quite a bit here in the United States where those markets aren’t bad. The prediction, we have not predicted microelectronics, data storage or semiconductor rebound, so we are happy to be positively surprised if that happens. However, also if it happens, it is almost mostly likely to go and it will help our bookings, but it most likely will go into 2016, up in these $2 million to $5 million systems than a three or four quarter delivery time. But we haven’t built a lot into it. Also in minerals and mining, and metals pricing and metals processing, we expect to do the low materials prices, these markets to be constrained. So we’re really changing the portfolio of that group, if you like, towards higher growth areas. And we probably will await a meaningful contribution to revenue growth from some of the microelectronics, semiconductor, data storage and/or other industrial markets more for 2016. But there may be some bookings pickup this year with more revenue pickup next year.
Operator: Our next question comes from Derik de Bruin from Bank of America Merrill Lynch.
Derik de Bruin: So couple of quick questions. One, how much did NMR bookings grow in the fourth quarter?
Frank Laukien: I think that is more granularity than we are prepared to give, but it was a little bit of an uptick. It was a decent uptick compared to several quarters of order weakness. I don’t know that’s a trend.
Charles Wagner: To be clear, Derik, I’ll take it excluding the currency.
Derik de Bruin: Yeah, that’s what, I mean, organic right. Yes. Could you talk a little bit about the ERP rollout that you're planning and some of those changes. That's often been a challenge for companies even with a little more established infrastructure, so what are you sort of going to do to mitigate some of the hiccups we've seen with some of the other companies that undertake that?
Frank Laukien: Yeah, Derik, we’re starting small. So we started, we haven't made a big deal out of it but we started in 2015 with some implementation in countries that were really on very old legacy systems. So we went live on SAP in Singapore, Taiwan and Korea in 2014. We will likely go live in Thailand and Malaysia in 2015. And these are kind of easy ones to pick off. We rolled out a standard template and replace the legacy system that's there. Of course, the bigger value for us is going to come when we can link together the multiple SAP instances that we have. A lot of the factories are in different instances of SAP. So we’ve got a project team working in 2015 to essentially devise a strategy and a design that's going to allow us hopefully to merge some of these SAP instances in 2016. So think of 2015 as very much a planning and design and development and testing year. With some hopeful that we can go live with some sort of a larger large merge. The difference I guess what lowers the risk somewhat is that a lot of our significant locations are already on SAP. And we're really looking to merge instances that we have as opposed to replace or roll out new systems altogether. So I do view that as something that helps mitigate the risk a little bit, but it also reduces the investment because we're using what we have already. And I guess the other thing is we're going fairly deliberately. We're not rushing to jam the sin. So we will have some spending associated with that in 2015 and I suppose as we exit 2015, I should be able to give some better clarity around when we think this merge will be able to happen. In 2013 and 2014, there was also quite a bit of CRN investment and that will continue to some extent into 2015, but a lot of the service CRN will rollout, which again I don't consider to be a very high risk and not such – not a headline grabbing number of any sort but really steady as you go improvement of our systems, including first sales and also now service CRNs and some divisions just haven't been available previously or they were Excel-based.
Operator: Our next question comes from Tycho Peterson from JPMorgan.
Patrick Donnelly: It's actually Patrick Donnelly in for Tycho. Quick one on organic growth, obviously a slight decline this year, guiding for 1% next year, what's the confidence level going forward to kind of get that back to mid-single-digit growth and what are the key drivers you expect to kind of get that uptick going 2016 and forward?
Frank Laukien: We’ve seen some improvements in some order levels, we also believe that some of the areas, some of the new markets that we have entered from, for instance, explosives trace detection after many years of investment, we are now really getting some nice orders and we think we are really making progress in biopharmaceuticals and some other areas, preclinical imaging, fluorescence, microscopy, cell biology, there are a number of areas that I think will be – that are growing fast actually, there have been growing fast from very small base in some cases and that’s picking up a little bit, we have some continued good growth drivers like our microbiology business, it may not grow at 20% anymore because it’s a large – it’s approaching $100 million, but we still expect it to grow in the double digits. We do in some of the markets, some of the markets that have been languishing, we expect a little bit of a pickup again maybe not rapid high single digit growth, but we expect NMR in 2016 to no longer be a drag and we also expect by that time with orders throughout this year that some of the industrial and microelectronics business markets are coming back to where we believe – and sorry, last but by no means least, some very strong product introductions towards the end of last year and some very strong product introductions we believe that are coming out this year that also we believe will drive orders in 2015 and revenue growth more towards hopefully mid single digits in 2016. So a number of things are aligning that we think give us a good shot at returning to more normalized growth rate next year. This is all organic, I am not commenting on reported, because I don’t know what currency will be.
Patrick Donnelly: Right. Okay. Just a quick one, any update weather Techcomp will acquire GC service business?
Frank Laukien: I don’t have an update on that right now, but I’ve heard something anecdotal recently that they are interested in doing that. I don’t have a better update on that and not would I know the timing at this point. It's not a very material part of our revenue but it – good question, yes, they have that option.
Operator: Our next question comes from Isaac Ro from Goldman Sachs.
Isaac Ro: Charlie, I was hoping to talk a minute about free cash flow, you guys gave some guidance on some of the things are working on in the working capital front and you also give some guidance for CapEx. I was hoping maybe you could give us at least a range on free cash flow for this year and maybe one or two of the key drivers in working capital that you think can kind of provide upset or downside from your goals?
Charles Wagner: Free cash flow for 2014 at around $ 80 million was a little lighter than we would have liked, it was $95 million the year before that. So heading into 2015, we are truly accounting on an increase in free cash flow even with an anticipated $10 million step up in CapEx. The drivers obviously little bit from net income, continued improvement in inventory, all for outsourcing programs and other operational programs are aimed at driving inventory down. And then as I mentioned, I think the receivables, we could have done a better job in the fourth quarter, that’s just a matter of process and focus. We’ve got some new regional finance structures in place that are going to allow us to focus on that in 2015. So I think that the combination of working capital programs and slightly lower restructuring are going to allow us to overcome the step up in CapEx to deliver increased free cash flow.
Isaac Ro: And then just a follow-up on tax rates, you guys gave a range of a think 26% to 20% I was curious at the low end of that range factors in the renewal of R&D tax credit and exclusive of that just curious you talked in the past about long-term opportunities to improve the tax rate and I was wondering if we look past 2015 and if you can talk to sort of longer-term goals where you think how much tax rate opportunity is there really if we get past 26%?
Charles Wagner: The US R&D tax credit isn’t quite as significant for us given that so much of our R&D happens outside the US. So I would say it’s not the material driver of the range of that tax rate. If you look over a few years, the tax rate has come down, two to three years ago, it was consistently around 30% or in the low 30s, 27% in 2013, a little bit lower in 2014 because we were able to release some reserves, but we’ve migrated it down a little bit over time. Some of that is a function of just where the business falls, but over the last year and a half or so we’ve done more work around transfer pricing and some other tax planning and that has allowed us to impact the tax rate, it’s also allowed us to release some of these reserves that historically had been hung up on the balance sheet. At this point, we are doing as much as we can with those sort of tactics, obviously much of our profit, our intellectual property, our manufacturing and our profit is generated in Germany, which is a relatively high tax rate and doing something structural would take a little bit more work. So there is nothing on the horizon for 2015 or 2016, I would say that structural, but we are starting to evaluate that.
Operator: Our next question comes from Paul Knight from Janney Capital.
Bryan Kipp: This is actually Bryan Kipp on behalf of Paul. Can you guys help tease out a little bit of what you're expecting in organic growth for next year in that 1% in light of pricing increases. I think you highlighted potential for entering adjacent markets as well as the strength, additional product introductions in 2014 as well as 2015. What are you baking in from kind of those things in the incremental 1% for next year?
Frank Laukien: It probably is 20 or 30 different factors quite honestly. And each then go into so much granularity that we generally for competitive and other reasons just don't want to go there. It is an aggregate number. It is the guidance. I wouldn't know how to pick a top two or three because there's really many, many different factors that come together here. Let me think about this. The weakness in NMR and X-Ray in last year and the non-recovery of microelectronics are still some of the big drivers, biggest drivers why organic growth isn't higher already in 2015.
Bryan Kipp: Okay. Is there a way you could give us some idea of what you guys are baking in on product introductions from 2014 as well as 2015, is it 1%, 2%, is it 50 bps, any color there would be helpful.
Frank Laukien: No, we don’t have that granularity.
Operator: Our next question comes from Bryan Brokmeier from Maxim Group.
Bryan Brokmeier: You mentioned the healthy academic market within the NANO business, more broadly across the total company, can you comment on the strength you're seeing in the academic market and how do you anticipate that market unfolding over the course of 2015?
Frank Laukien: Academic markets have rebounded very nicely in the US, it’s become weaker in Japan, they would be stronger in certain countries, in Latin America also, but they are struggling with their currencies and whatever purchasing power they had is now insufficient to buy the systems that they have budgeted for, that some markets in India and so on where things have slowed down you want the funding is available. But by and large, I mean when we talk about academic markets, the question is do they not grow, do they grow 2%, do they grow 4%, it’s not that you have these 20% drops and then a steep recovery. We had a little bit more of that during the stimulus years, but there is really no significant stimulus in the horizon anywhere. So long-term, academic funding tends to be perhaps low single digits, right, strength in the US, Europe being pretty strong, China coming back, Japan presently being on the weak side and all other countries having – all other developing or developed countries having a much more consistent approach to that, because that sort of long-term plan that are not influenced typically by short-term events all that much. There’s exceptions, in Russia or little bit of a positive exception in recent years and continuing this year is the UK, where after a few years of underinvestment, last year and this year there is quite a bit of catch up and probably continued commitment to higher academic spending. The question then is what can we, very, very large, ocean of academic spending and research spending, how much can we get for our products, and they are of course having really relevant high performance products or novel scientific capabilities which we have in a few years or just very good bio-analytical or other solutions where people can then not too much focus on the instrumentation, if you like, but focus on some biology or chemistry or mix problem and we are just a good tool for that. That’s our job and that’s why our long-term growth trends tend to be better than maybe the couple of percent that you have as long term academics funding grows over long-term rates in all countries in the aggregate. But those are much more stable markets and much more reliable markets than some of the industrial markets that was the real point here.
Bryan Brokmeier: Thanks. That's helpful. And looking at the Biotyper, you mentioned that you're working with the FDA to try and expand the libraries. Has the growth in the US met your expectations since you entered the market I think early last year and do you have any insight into how penetrated the market opportunity is today?
Frank Laukien: Yeah, when I say we are working with them, obviously they are our regulator, we submit things to them, they come back to us, but we’re working with them – we had a claim a year ago with that and more work on additional claims in the pipeline, we’ve seen excellent growth in 2014, we were really pleased with that. And the penetration of that market is still very early days. We were encouraged that not only specialty, very large research hospitals and children’s hospitals and so on that all went fairly early and are not fully penetrated and some of the reference labs, but also midsized and even some smaller hospitals, it’s still selective are going for it. So if indeed that trend is accelerating, then really it would almost go towards levels that we begin to see in Europe where that is really becoming somewhat of a standard of care, in which case the penetration is still very early days, something like over 5,000 hospitals in the United States and the penetration at this point is still very early days.
Operator: Our next question comes from Sung Ji Nam from Cantor.
Sung Ji Nam: Frank, I was wondering what percent of your BIOSPIN business currently is services portion and where do you think that could go after you've invested more in that over the next few years.
Frank Laukien: I think it's not far from 10%. I don't know the exact number in that range. But quite honestly we think that can go from low teens to high teens.
Sung Ji Nam: Okay. And then just curious as to what’s the growth potential for the preclinical imaging business in the medium term?
Frank Laukien: I mean, we’ve seen double digit growth last year, we believe, we’re again modeling it as one of our fastest growth businesses for 2015, with growth certainly well above the corporate average, I believe it is remodeled for around 10% this year, 2015, so I probably don’t have all of the data at my fingertips, but we expect that to be growing quite a bit above the corporate average. Again, its 2015, and also beyond. At some point, it won’t grow in the teens anymore, but maybe at some point in 2016, 2017, it may come down to the high single digits, but that’s a little bit speculative at this point. We also have a good product pipeline to expand that even further. And so I think we’ll have further good new product introductions in that preclinical imaging business as well.
Operator: Our next question comes from Eric Criscuolo from Mizuho.
Eric Criscuolo: I was wondering how long does it usually take for when you decide to restructure the business in Europe as far as closing a plant or laying off workers? How long does it take from the time that decision on your end to the time when you can actually do it in that geography?
Frank Laukien: The legal situation in Germany and France is that you cannot decide and then do it, you can propose a plan and then by law, you need to negotiate that with your workers council or your committee, and I think the truth is that, I think everybody buys into the necessity of that and I think our workers council, they will do their duty and they will look after their employees, but they also I think don’t want to have indefinite uncertainty or longer than necessary uncertainty on the entire team. So we’re somewhat optimistic that we can hopefully reach a result to those negotiations at the end of Q1 or in early Q2 and then begin implementation. It clearly does take a quite a bit longer than if you take some of these decisions in the United States, or in Switzerland for that matter.
Eric Criscuolo: Got you. Thanks. I guess after all the divestitures how much of the original CAM business will be around when all is said and done?
Frank Laukien: Just under a third.
Operator: And ladies and gentlemen, at this time we’ve reached the end of the allotted time for today’s question-and-answer session. I’d like to turn the conference call back over to Mr. Young for any closing remarks.
Joshua Young: Thank you, Jamie. Thank you for joining us this evening. If you’re interested in meeting with Bruker, we’ll be presenting at the Cowen and Barclays healthcare conferences this quarter. We also encourage you to visit us at our headquarters in Billerica, Massachusetts. Thank you for your attention, and have a nice evening.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending. You may now disconnect your telephone lines.